Operator: Ladies and gentlemen, thank you for standing by and welcome to the AppFolio, Inc. First Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Erica Abrams. Please go ahead.
Erica Abrams: Thank you, Josh. Good afternoon, ladies and gentlemen. And thank you for joining us today as we report AppFolio's first quarter 2020 financial results. With me on the call today are Jason Randall, AppFolio’s President and CEO; and Ida Kane, AppFolio’s Chief Financial Officer. This call is simultaneously being webcast on the Investor Relations section of our website at www.appfolioinc.com. Before we get started, I would like to call everyone's attention to our Safe Harbor policy. Please note that certain statements made on this call may be forward-looking statements within the meaning of the federal securities laws that are subject to considerable risks and uncertainties. Actual results or performance may be materially different from any results or performance expressed or implied by the forward-looking statements. Forward-looking statements, including any such statements referring to the potential effects or impacts of the COVID-19 pandemic upon AppFolio’s business may relate to future plans and financial conditions, results of operations, business forecasts and plans, strategic plans and objectives and product development plans. Please see our filings with the SEC including our Form 10-Q which was filed earlier today for greater detail about risks and uncertainties. Forward-looking statements are based on reasonable assumptions as of today and we assume no obligation to update any forward-looking statements after today, even if new information becomes available in the future, unless required by law. With that, I'll turn the call over to Ida. Ida, please go ahead.
Ida Kane: Thank you, Erica, and welcome to everyone joining us on the call today for AppFolio’s first quarter of fiscal year 2020 financial results. First and foremost with regards to the COVID-19 pandemic, we hope all of you and your families are staying safe during this unprecedented time. We continue to work hard to best ensure the health and welfare of our employees, our customers, and our surrounding communities. To mitigate the adverse impact COVID-19 may have on our business and operations, we have implemented a number of measures to protect the health and safety of our employees, as well as to strengthen our financial position. These efforts include increasing our available cash position and eliminating, reducing or deferring non-essential expenditures, as well as adopting local and state government recommendations to protect our workforce. Beginning in mid-March, we transitioned our all 1,300 employees to remote work environment, restricted non-essential employee travel, and minimized costs associated with running our facilities. We continue to closely monitor trends in our business and the broader markets to determine what additional steps may be necessary for our employees, customers, and operations. In addition, we've taken strategic steps designed not only to protect AppFolio in this period of uncertainty, but also to ensure that we're able to capitalize on new and existing opportunities as we move forward.  Turning to the first quarter, we had healthy demand for our products and services. We reported total revenue of $72.5 million, a 27% increase year-over-year. GAAP net income was $2 million, or $0.06 per diluted share during the quarter, compared to GAAP net income of $3.7 million, or $0.11 per diluted share in the first quarter of last year. Also included in our first quarter results is $1.9 million in non-cash charges related to stock-based compensation. For those of you who track non-GAAP results, our Form 10-Q was filed today and includes more details that you might find helpful in calculating non-GAAP results on your own. Revenue from core solutions in the first quarter was $24.9 million, up 20% year-over-year. First quarter Value+ services revenue was $44.1 million, a 31% increase year-over-year. Growth in revenue was driven primarily by an 18% increase in property manager units under management and a 10% increase in the number of property manager customers we serve. Revenue from each of our Value+ services increased year-over-year. The majority of growth in these areas continues to be driven by increased usage of our electronic payments, screening and insurance services by a larger base of property manager customers as well as a high number of units under management. During the three months ended March 31, 2020, we did experience some variability, both positive and negative in demand for certain Value+ services after government restrictions were put in place in the U.S. Turning to expenses, total costs and operating expenses for the first quarter increased 22% year-over-year on a GAAP basis compared to an overall 27% increase in total revenue. Our year-over-year increase in costs is primarily related to our 26% increase year-over-year in headcount to support new offerings and customers and to enable future growth that we believe will positively impact long-term shareholder value. Partially offsetting the growth in operating expenses for the first quarter is an adjustment to incentive-based compensation expense of $2.6 million reflecting changes in accruals due to the potential impact of COVID-19. As we progress through the balance of 2020 we could have more variability in this expense than we would have otherwise expected given the uncertainty.  We ended the first quarter with 14,729 real estate property manager customers managing an aggregate of 4.8 million units in their portfolios compared to 13,409 customers and 4.08 million units under management reported one year ago. In the legal vertical we closed the quarter with 11,115 customers up from 10,485 one year ago.  Moving to the balance sheet, we closed the quarter with approximately $71.4 million in cash, cash equivalents and investment securities and $97.4 million of total debt. This includes $49 million that we drew down from our revolving facility during the quarter. We generated $3.1 million from operating activities in the first quarter. Our primary uses of cash in the quarter were capital expenditures of $8 million to purchase property and equipment for the continued growth and expansion of our facilities, a majority of which relates to the build out of our corporate headquarters in Santa Barbara that is expected to be substantially completed during the second quarter of 2020. We also realized capitalized software development costs of $6.8 million in connection with continued investments in our technology and services offering.  Finally, we paid contingent consideration related to the Dynasty acquisition of $6 million and spent $4.2 million for the repurchase of shares under our current share repurchase program.  In summary, we began fiscal year 2020 with healthy demand for our products and services, many of which are designed to enable our customers to manage their businesses virtually. We expect demand variability for our products and services could continue as a result of the COVID-19 pandemic, although it is presently unclear whether the cumulative impacts will be positive or negative. We continue to stay close with and listen to our customers to best ensure that we are responding to their needs in the current environment with innovative solutions. While we’re encouraged by the results of our first quarter and the more recent demand for our products and services, we’re unable to predict with any reasonable degree of certainty the full extent of the potential impact of the COVID-19 pandemic on our business and financial results. As a result, we are withdrawing our previously communicated full year revenue outlook for fiscal year 2020. We do continue to expect our diluted weighted average share count for the year to be approximately 36 million shares.  With that, I'll turn the call over to Jason for additional comments. 
Jason Randall : Thank you, Ida, and thanks to everyone for joining us today. In the first quarter of 2020 we continued on our mission to revolutionize vertical industry businesses by providing great software and service to our expanding customer base. As COVID-19 rapidly changed our lives and those of our customers, we work quickly and strategically to bring value and education to our customers and ensure the safety and wellbeing of our employees.  Our technology serves as the systems of record, engagement and intelligence for our customers and delivers mission-critical end-to-end customer experiences. As a result, our customers rely on our cloud-based software to run their businesses and have been able to maintain business continuity and continue to serve their customers. In our real estate vertical, property managers and owners are focused on keeping their residents, vendors, teams and homeowners safe while maintaining business operations. Alethea Parker, President of Artcraft Management and AppFolio Property Manager PLUS customer with over 4,500 units recently told us “I am so thankful that we run our business on AppFolio.” We could not have taken the steps to protect our office, maintenance and corporate teams without AppFolio Property Manager PLUS, as it lets residents make payments and submit work orders online while our team can communicate with our residents and pay vendors remotely. We have expanded the functionality of AppFolio AI Leasing Assistant, Lisa, to include virtual showings providing end-to-end AI-powered virtual leasing experience. This enables customers to maintain their leasing operations by hosting live video walkthroughs with prospective residents, allowing leasing teams to show available units and sign new leases without any in-person contact. [Rosen Hartman], COO of Fairline Management, managing over 2,800 units and an early user of AppFolio virtual showings recently expressed how AppFolio Property Manager has worked to support her team and business. She told us “I don't know what we would be doing right now if it wasn't for AppFolio.” We're able to easily work remotely and communicate virtually and leverage tools like AppFolio AI Leasing Assistant and the maintenance contact center alongside everything being all-in-one in AppFolio Property Manager PLUS has helped so much. These are uncertain times, but we're getting through it with your amazing support.  We also released enhanced communication tools such as the ability to post custom announcements across AppFolio resident, homeowner and owner portals and added functionality to the maintenance workflow to enable property managers to post important safety policies. We improved our online payment capabilities to empower our customers to deliver flexibility and efficiency for rent collection, including capabilities that make it easier to waive late fees and provide and track payment plans for renters. For our customers managing community association portfolios, we extended features to allow association manager and homeowners to leverage the architectural review capabilities for in-app messaging, letting them stay in sync throughout a project without discussing logistics around the request and disparate channels. This feature streamlines communication to a single portal and keeps a record of that communication while delivering excellent homeowner experience. In  AppFolio Investment Management, customers are leveraging online communication tools and portfolio visibility for their investors. In Q1, we released improvements to our online fund raising flow including a deal page that can be shared via the AppFolio Investor portal as well as revamped electronic document signing. We also made improvements to our Investor Portal activation and login flow, document uploads and sharing and investor statements and reporting. Corey Gluckstal, Managing Partner of Five Point Real Estate recently stated, “I love AppFolio Investment Management. Feedback from some of our investors is that the level of correspondence is better than any institutional investment service. It's so good. It's simple and that is what any system designer should strive for.” In addition to all the product enhancements I've mentioned, I'm also happy to announce that Shane Trigg joined AppFolio as General Manager of Real Estate in mid April, reporting to me. Shane brings extensive software-as-a-service and real estate experience to our business and will be leading strategy execution for the property management products and services. Prior to joining AppFolio, he spent eight years at Salesforce in a variety of leadership roles, most recently at Senior Vice President Commerce Cloud. Prior to that he held leadership positions at MRI Software, formerly Intuit Real Estate Solutions. We believe that Shane has the right experience, perspective and leadership skills to lead the AppFolio real estate vertical well into the future. MyCase is enabling customers to better maintain business continuity while working remotely. Nicole Christie of the Christie Law Firm recently said, “MyCase has enabled me to not lose a beat while working from home. My clients love MyCase. We can work together without ever leaving our houses.” In the past quarter, we expanded the capabilities of MyCase releasing several new features including two-way text messaging and a new email feature that centralizes case communication in MyCase. To help firms maximize revenue, we released Smart Time Finder, an automated tool that helps attorneys find overlooked time entries and capture more billable time.  As we look ahead we'll continue to deliver features designed to help firms maximize revenue, improve communication and manage their cases in one centralized solution.  Turning to our team, we take the safety of our employees, their families, and our communities very seriously. Because we deliver cloud-based software, we have a deep investment in business continuity infrastructure designed to maintain the availability and performance of our services. That's allowed our workforce to be well prepared with the technology and tools required to operate as usual during this time, even in a remote capacity. Since our inception, AppFolio has prioritized building an outstanding culture and I continue to be impressed by our team's positive work ethic, cross department collaboration and agility while remaining focused on our customers’ needs. I'm thankful for the team that we have built and for the commitment they have to AppFolio. Our strong culture, leadership and innovative technology continue to gain recognition throughout the industry, as we received awards from FORTUNE Magazine and Great Place to Work, including best places to work in Texas and for our innovative culture and leadership.  In addition, AppFolio products are recognized by the Business Intelligence Group with the Artificial Intelligence Excellence Award for AppFolio AI Leasing Assistant, Lisa. In summary, we continue to remain focused on areas that enable long-term sustainable growth for our business, our customers' business, and our engaged and happy team. We are actively listening to and partnering with our customers and continue to provide a solid foundation for their businesses to help them navigate their challenges and build for the future. While we expect ongoing fluctuations in the market and customer needs in the months ahead, we remain committed to driving long-term sustainable growth for our business while contributing to our customer success. Thank you for joining us. And that concludes our call for today.
Operator: As a reminder, a replay of this conference will be available starting at 7:30 PM Eastern time. In order to listen to the replay, please dial (800) 585-8367 and enter your conference ID code you use to access the event today, which is 1898165. Thanks very much. Have a great day.
End of Q&A: